Operator: Welcome to the AB First Quarter 2015 Earnings Review. At this time, all participants are in a listen-only mode. After the remarks, there will be a question-and-answer session, and I will give you instructions on how to ask questions at that time. As a reminder, this conference is being recorded, and will be available for replay for one week. I would now like to turn the conference over to the host for this call, the Director of Investor Relations for AB, Ms. Andrea Prochniak. Please go ahead.
Andrea Prochniak: Thank you, Chris. Welcome to our first quarter 2015 earnings review. This conference call is being webcast and accompanied by a slide presentation that's posted in the Investor Relations section of our website, www.abglobal.com. Peter Kraus, our Chairman and CEO; John Weisenseel, our CFO; and Jim Gingrich, our COO, will present our financial results and take questions after our prepared remarks. Some of the information we present today is forward-looking and subject to certain SEC rules and regulations regarding disclosure. So I'd like to point out the Safe Harbor language on Slide 1 of the presentation. You can also find our Safe Harbor language in the MD&A of our first quarter 2015 Form 10-Q, which we filed this morning. Under Regulation FD, management may only address questions of a material nature from the investment community in a public forum. So please ask all such questions during this call. We're also live tweeting today's earnings call. You can follow us on Twitter using our handle @AB_insights. Now, I'll turn the call over to Peter.
Peter Kraus: Good morning everybody, and thanks for joining us today. Let's get right into it with a firm-wide overview on Slide 3. I'm pleased to be reporting on another quarter of progress and our long term strategy to deliver for clients. The quality of our investment performance to global breadth of our business, the innovation of our offerings, and the strength of our financials. Looking at this Slide, you can see that we have improved both sequentially and year-over-year in the first quarter in every area represented grow sales, net flows, period and average AUM. Our first quarter gross sales of $19.5 billion were up 31% from the same prior year period, net inflows of $6 billion improved by $10 billion plus. Quarter end AUM of $486 billion was up nearly $32 billion or 7% year-on-year and an average AUM of $481 billion was up 6%. Slide 4 demonstrates our quarterly flow trends across channels. We had organic growth of 5% on an annualized basis in the first quarter were flow positive across all three of our client channels with a line share coming from Institutional clients. Institutional net inflows of $5.4 billion improved by nearly $6 billion sequentially and with $9 billion year-on-year, this is due to broad-based sales strength in that business and I’ll get to that in a little bit. Retail and private wealth net flows returned to positive territory in the first quarter and in fact this is our third net flow positive quarter for private wealth out of box. I’m pleased to report that our investment performance trends have been strong as well. Let's begin with fixed income, and that's on Slide 5. Our strategies continue to outperform benchmarks across most if not all time periods. At quarter end, 87% of our qualifying fixed income assets were in strategies that outperformed for the one year period, 89% for the three, and 93% for the five-year period. We also stack up well relative to peers. Top quartile performance for the three-year period include U.K. Core Plus, TIPS Plus and European High Yield. Top decile rank services include U.S. High Yield for the three year, European High Yield for the five-year. It's also worth noting that in the time of currency volatility, the hedge versions of our Global Plus, Global Aggregate, and Global Fixed Income strategies have delivered stellar absolute and relative performance. In equities we now have an impressive mix of longstanding and newer institutional strategies outperforming both bench and peers. Now I'm on Slide 6. As of quarter end 85% of our qualifying equity assets were in outperforming services for the one year period, 75% for the three-year and 57% for the five. At this time last year, these numbers were 64% for the one, 43% for the three and five-year periods. The improvement has been both absolute and relative to peers. In fact, the performance premiums of our institutional equity services today are the best we've seen in years. Our top quartile performance for the three-year period include concentrated U.S. growth, one of the services we acquired with WPS, U.S. Thematic Research, U.S. Core Opportunities, U.S. SMID Cap Value, Global Strategic Value and Global Strategic Core. U.S. Core Opportunities, U.S. Large Cap Growth, Emerging Markets Growth and U.S. Strategic Core Equity all rank top decile for the three-year and U.S. SMID Cap Growth and U.S. Core Opportunities are top decile for the five. With the diversed and relevant offering and consistent outperformance, we’re increasingly earning a ceded table with clients, prospects and consultants and wining more business around the world. That's clear from a institutional channel highlights which are on Slide 7. Starting chart with the left, total institutional gross sales were up 54% sequentially in the first quarter of this year, and 161% year-on-year within every major regions contributing to the increase. In the Americas and EMEA, we're doing multiples of the business today that we did just one year ago, despite fundings in a high level of the pass-through activity, our pipeline was down just $200 million at quarter end to $15.8 billion in total assets, and $5.7 billion in active assets, that's the chart at the top right. Below that, you can see some new mandates we were awarded during the quarter. Fixed income continues to represent the largest share of our new additions by assets with particular strength in the core plus complex. At our share of equities, alternatives and multi-asset strategies has been increasing as well. Our second fund raise for Commercial Real Estate Debt grown at $610 million in new commitments during the quarter, another pipeline addition Real Estate Opportunities Fund II too has raised $750 million from institution so far and we won a $75 million concentrated U.S. growth mandate. This breadth of activity offers more proofs at AB efforts to building more balanced and client focused institutional platform are indeed paying off. Sales have been more diversed in our retail channel as well, this is highlighted on Slide 8. On the left is a table of our top ten retail products by gross sales during the first quarter of 2015, along with their sequential sales and flow trends. A few things jumped out here. One, while fixed income continues to dominate our sales volume, four of our top ten selling products in the first quarter were equity or alternative funds including U.S. Large Cap Growth, where sales increased 46% sequentially and net flows were robust. Another is that retail investors are still very focused on income with flat to negative yields in Europe these days, European income service has been in big demand. Both gross sales and net flows were multiples of the fourth quarter of 2014, and AB High Income gross sales were up 17% sequentially putting that fund in solid net flow positive territory. Investors also continue to favor strategies with U.S. Treasury exposure we see that in the strength of our American Income sales and flow trends. Retail sales were strong across regions in the first quarter as well. That's the top right chart, all major markets contributed to total retail sequential growth sales - growth of 17%. We had real success in Japan with services like U.S. Large Cap Growth and concentrated U.S. growth. Finally, solid retail track records are fueling sales momentum. Top sellers like High Income, Global Bond, U.S. Large Cap Growth and American Income ranked top quartile amongst U.S. and Lux funds for the three year period. Now let's turn to private wealth management on Slide 9. The success we're seeing in this business today is the culmination of years of hard work to evolve our offering and enhance our ability to service clients. Let's start with strategic equities on the left. We introduced this Multi-Style All-Cap suite to our diversified offering nearly three years ago to seek reliable returns for our clients in the array of market environments, I think we're delivering. Strategic Equities has outperformed the S&P by 115 basis points annualized since inception and ranks in the 39th percentile amongst peers. In this most recent quarters, Strategic Equities outperformed by a very impressive 286 basis points and ranked in the 11th percentile. Pie on the right demonstrates the increasing success we are having in anticipating and meeting clients needs with the targeted services we offer. Together these services have attracted more than $2.6 billion in committed assets. Once involved our closed end services and are fully committed. Here is some takeaways to let us know we are in the right track. Three fully committed services we've launched since the beginning of 2014 reached capacity within their first year, including direct middle market lending, a service we introduced to private clients in January was over subscribed within three months. In fact, two-thirds of our FAs had interested clients the highest level of engagement of all of our targeted services to date. As we gained credibility in this space, we are able to attract clients, assets more quickly, Take Real Estate Fund I for example, launched in late 2010 took 19 months to reach full commitment. Fund II launched in mid-2014 took 12, raised $175 million more than Fund I. It's gratifying to see private wealth clients embraced the new things we are doing for them, more are coming to our events, participating in our new offerings, and referring us to others. FA’s are energized by the relevance of our offering and production is spread out amongst the broad group of advisors nationwide. I feel pretty good about the direction of this business. I'll finish our business highlights with Bernstein Research Services which is on Slide 10. It's another strong quarter for our sell-side business revenues were up 2% in the first quarter of 2014, and down just 2% from last year's quite volatile and active fourth quarter. You can see from the chart at the bottom left that, while volumes were down in the U.S. year-on-year they increased in both Europe and Asia. Another proved point for us that expanding globally has been the right decision for our clients. Everyone knows that our sell-side research is differentiated; I would like to spend a few minutes now talking about how we are unique in our approach to trading as well. The right side of this slide outlines what makes our sell-side trading platform so special, starters, we're truly global. We can execute cash, algorithmic and portfolio trades for clients in 160 venues, 49 markets around the world. We are not prop traders who try to an investment bank, so we are totally unconflicted in our approach. There is never any doubt that Bernstein's interest are 100% aligned with our clients. And while we have access to most dark pools, we don’t have one of own and we are not partial to anyone’s for a neutral party for our clients focused on routing their trades quickly to every week and find appropriate liquidity. Clients appreciate our flow and our neutrality. This year they ranked us number one in both U.S. Equity Electric Trading Quality and Client Service in a leading independent service. Finally, our trading platform is linked with our research platform, traders want both liquidity and content. We can offer insights on specific stocks and sectors in a way we believe no one else can. It's because of this combination of research and trading talent and capabilities that Bernstein Research is a core business for AB and a significant contributor to our results and outstanding in the industry. I’m going to wrap up today as I always do with the recap of all the ways we’re progressing in our long term strategy to deliver for clients, that's on Slide 11. In the first quarter, we not only maintained our long term investment, performance, premiums and fixed income, we've restored the track records of many of our equity services as well. That performance is driving client demand for both newer offerings and longstanding service like U.S. Large Cap Growth. We're probably a most geographically diversed quarter yet by both sales and flows, with just about region of the world contributing to our year-on-year momentum in both institutional and retail. The work we've done to diversify our retail offerings in an innovative way, is beginning to pay-off. We see that in the reception we're getting from retail intermediaries, they are approving AB funds for sales, endorsing them and including them in their models again. And of the offerings we've introduced since 2009, we’ve done $33 billion in gross sales since we began establishing track records in 2012. We're tapping into a real need among our institutional and private wealth clients with our new direct middle market lending service, it's already pass the $1 billion mark in total and we've close to do capacity until 2016. Finally, we keep making progress with our financials. AB produced year-on-year growth in revenues, adjusted operating income and adjusted operating margin in the first quarter. In fact, our incremental margin was more than 50% year-on-year. I’m pleased with the progress we keep making to fulfill our promise to keep the clients ahead of tomorrow. I’m also proud of the people here at AB who also work relentlessly to drive this business forward. Now, I'm going to turn it over to John for a discussion of the financials.
John Weisenseel: Thanks you, Peter. As always our remarks today will focus primarily on our adjusted results. You can find our standard GAAP reporting, as well as the reconciliation of GAAP to adjusted results and this presentation appendix, our press release and our 10-Q. Let's start with the highlights on Slide 13. By every measure, our adjusted first quarter results improved meaningfully versus the same prior year period. That's clear from the right side of the slide. First quarter revenues of $634 million were up 7%. Operating income of $152 million was up 16%, our margin increase $190 basis points to 23.9% and we earned and we’ll distribute to our unitholders $0.45 per unit compared to last year's first quarter adjusted EPU of $0.39. As expected, our results declined from the fourth quarter of 2014, the result of typical seasonal patterns. I’ll get into these in more detail as I note the key items from adjusted income statement on Slide 14. I'll start with the talk with base fees which increased 8% year-on-year as a result of higher average AUM across all three of our distribution channels, institutional, retail and private wealth. As expected, our performance fees of $4 million were down for the prior quarter's $28 million, that’s because we recognize performance fees on services as revenues at the inclusion of their calculation periods which were most of our strategies is the fourth quarter. Bernstein Research service revenues were up 2% versus the first quarter of 2014 as a result of higher client activity in both the U.S. and Asia which offset declines in Europe and declined 2% sequentially due to lower activity in the U.S. and Asia. Investment gains and losses were essentially flat in the first quarter but included seed capital gains versus seed capital losses in both the first and fourth quarters of 2014. As a reminder, investment gains and losses includes seed investments, our 10% interest in venture capital fund and our broker dealer investments. We had $511 million in seed capital investments at quarter end, the majority of which is hedged. Seed capital increased $18 million from the fourth quarter as we funded new investments during the quarter. Other revenues are made up largely of fees we earned for transfer agency services we provide to company's sponsored mutual funds and for administration and record keeping services we provide to company’s sponsored mutual funds and asset general accounts. This number tends to run in the low 20s per quarter. At $21 million for the first quarter, other revenues were lower than the two prior comparable quarters the result of lower mutual fund reimbursements and lower shareholder servicing fees. Finally, total net revenues were up year-on-year as a result of higher base fees that came from the higher average AUM mentioned earlier. Moving to adjusted expenses, I’ll begin with compensation and benefits. As you know, we accrue total compensation, excluding other employment cost such as recruitment and training as a percentage of adjusted revenues. In the first quarter of this year, we accrued compensation of 50% ratio inline with the same prior year quarter but up from our 46.5% ratio in the fourth quarter. Total compensation and benefits expense increased year-on-year largely inline with the increase our net revenues and increase sequentially as result of our higher first quarter comp accrual. First quarter promotion and servicing expenses increased slightly year-on-year but declined 4% sequentially as a result of lower seasonal T&E. G&A expenses decreased 2% versus the first quarter of 2014, due primarily to lower occupancy expenses and we’re relatively flat to the fourth quarter. All-in-all, our total operating expenses of $482 million increased 4% year-on-year and 2% sequentially. Operating income of $152 million for the quarter was up 16% from the prior year, as revenue growth outpaced expense growth and was down 17% sequentially primarily on lower performance fee revenues and increase in comp and benefit expense that resulted from the higher comp accrual. Our operating margin of 23.9% for the quarter was up 190 basis points from the first quarter of 2014, reflecting the operating leverage we achieved in our business and a 53% incremental margin we've produced. On a sequential basis, 350 of the 400 basis point decline in our operating margin can be attributed to the higher comp ratio and the remainder to lower performance fees I discussed earlier. In addition, we've recorded a 400,000 credit within our GAAP G&A expenses in the first quarter to chew up our real estate sublease assumptions. This credit has been excluded from our adjusted financial results. Finally, the first quarter effective tax rate for AllianceBernstein L.P. was 6.8% as expected. These points are all highlighted on the next slide of this presentation as well. And with that, Peter, Jim and I are pleased to answer your questions.
Operator: [Operator Instructions] Your first question is from Bill Katz with Citi. Your line is open.
Bill Katz: Okay, thanks so much and good morning. So bouncing around, its been a couple of calls here, so I apologize if you covered this already. You mentioned in your prepared remarks Peter that it was incremental margins look 50%. As you look about the business and continues to gain some momentum, how you're thinking about the dynamic between growth of the business to reinvest, so it's doing so well versus laying some of that job to the bottom-line?
Peter Kraus: Well, I think that we’ve been active as investors over the last five years in building lot of new services. And I think we may have said in the previous call at the end of the year last year that our investment activities would probably tailor off overtime. And so we don’t see the need to make the size investments that we have made in the past. And so I can't – to mention that to you with numbers but directionally I think - our feeling is that we've got lots going on right now, lots of good options, lots of good performance and an opportunity to create that operating leverage is really what we are looking for.
Bill Katz: Okay. And then second question is, just you would - I think [indiscernible] perhaps talking about the opportunity in terms of the and so forth. What's your sense in terms of the Department of Labor, how that might accelerate your penetration into the retired market?
Peter Kraus: Ye, good question Bill. So the DOL as everybody knows is put out actually rather extensive proposed regulations. I think yesterday they indicated they were not going to increase the 75-day common period. We'll see what actually occurs but I think if the trend of what the DOL is proposing does in fact take place, there will be a significantly heightened light on fiduciary activities and whether that light is shown just on the rollover market or a broader part of the market, I think ultimately that's the trend. What we have been hard at work trying to build over the last five year's, is the set of services that actually show well in a - more heightened fiduciary environment. So examples, certainly the product that we’ve talked about most recently the Morningstar AB product where Morningstar is picking managers, AB is effecting the glide path, those managers are both internal and external or non-open architecture if you will, that's a pretty highly evolved fiduciary product for that marketplace. The lifetime income strategy is also a highly evolved product for the fiduciary marketplace because it could include all the things that previously said, plus it also provides effectively a synthetic fine benefit plan as it provides for longevity risk and effectively provides annuity for life. So I think that we have been thinking about the world evolving into one where fiduciary issues become more significant, and I think that we've tried to position ourselves as a frontier thinking organization in that basis.
Bill Katz: Okay. Thanks so much.
Operator: Your next question is from Michael Kim with Sandler O'Neill. Your line is open.
Michael Kim: Hi, guys good morning. Just first in terms of the institutional channel, I know number of your newer strategies had a lot of success in terms of generating growth more recently but was just wondering if you’re starting to see some more interest in some of your core growth and value equity strategies particularly given the investment performance track records across some of those services.
Jim Gingrich: Michael, this is Jim. The answer is yes. In some of our biggest selling services this quarter, we are in fact are more traditional services. You mentioned institutional but for example in retail our large cap growth service was our largest seller in the quarter. So we are seeing increased engagement - for exactly reasons you mentioned that performance really across both our growth platform, as well as our value platform is quite strong.
Peter Kraus: Mike, I'm just going to take two services that are services that we've been focused on for many years, U.S. Large Cap Growth and Global Strategic Value. So if you just look at percentile ranking on investment. U.S. Large Cap Growth is 9 percentile for the quarter, 1 percentile up for the year, 10 percentile for the three year and 33 percentile for the five. And Global Strategic Value which certainly had its challenges is 7 percentile for the one quarter, 11 percentile for the one year, 12 percentile for the three year, and 68 percentile for the five reflecting some of the longer term challenges we had in '08 to ’09. Those are pretty strong track records for the services that we have been standingby for many, many years and I suspect that clients are going to notice that and come back to those services.
Michael Kim: Got it, okay. And then second question, just may be one for John, just wondering how you’re thinking about expense growth at a high level and then any thoughts on sort of the near term trajectory in light of some of the seasonality exiting the first quarter.
John Weisenseel: Sure Michael, its John. And I think if you look at the non-comp expenses whether you look sequentially a year-over-year, they just fluctuated very in immaterial type of ways. So I think, we’ve done a great job that focusing on those expenses, keeping them under control and I expect that same pattern to continue into the future. And then on the comp side, obviously as we said we expect to have leverage not just on the non-comp side of our expense based plus on the comp side as well if revenues go up and continue to go up the markets continues to do as well. So I think in the future, I think it's although right now its premature to look for that type of leverage because this is still early in the year but as you go through the year, and we see revenues crystallize, if we see revenue growth, there could be some possible leverage there as well.
Michael Kim: Okay. Thanks for taking my questions.
Operator: Your next question is from Robert Lee with KBW. Your line is open.
Robert Lee: Great. Good morning, guys. Real quickly my two questions are on private client business. I guess the first I’m just curious with - and I guess it's also institutional channel, but for lot of the alternative strategies or you've raised commitments, I’m just curious how much of that maybe all of that has - is already in assets under management and kind of any sense of kind of like the pipeline of dry pattern more or less that could flow into AUM as drawn down?
Peter Kraus: Most of the reason may Robert, is still in commitments and so the private lending money and the second real estate fund are mostly committed funds and there is a minority of money that’s been drawn down - so much has been drawn down. The older funds are almost entirely funded. And so as we ramp up those services and we’ve been accelerating the amount of money that we’re raising, we’re basically building a pipeline in the future for fundings to increase AUM over time.
Robert Lee: Okay, great. And then maybe sticking at the private client business, clearly past year gone back to on average some positive flows, but can you maybe just update us on kind of the plan the growth plans there in addition to having introduced some of the new services. Where you stand with increase in the number of financial advisors or and no office footprint that type of thing?
Peter Kraus: I think that we say several opportunities to grow the business. As you mentioned, our plans are to continue to expand the number of advisors, that can only happen in our experience at a moderate pace. So you're probably looking at something in the single-digits. We don't really have any plans to expand the number of offices at present. But we also think that there is a big opportunity to expand the productivity of our current advisors both in terms of production and AUM, which we think will be as important if not more important than the increase in the number of advisors.
Robert Lee: Is it possible maybe get some sense of kind of what productivity maybe now and where you think is over time kind of a level that would be in attractive target for you guys?
Peter Kraus: I think it's tough to put targets on something like that but if you were to look at what our productivity is at present versus what it was for example pre-TSC, we are well below what that business has delivered in the past on both metrics of production and AUM. So, and if you look what the trends have been of late both of those have been moving in a very positive direction, which has contributed to some of the positive flow transit we've seen over the last 12 to 18 month.
Jim Gingrich: Maybe a more conceptual way to think about this is that, businesses had significantly higher productivity in the past with a much smaller product range, it's not going to much lighter product range and therefore it should have a improved opportunity of reaching that historical productivities.
Robert Lee: Okay, great. Thanks for taking my questions.
Operator: [Operator Instructions] Your next question is from Michael Carrier with Bank of America. Your line is open.
Michael Carrier: Thanks guys. First question just on the flow outlook you guys have been doing along the fixed income side, I think in equities just given the performance and then some of the new product strategies that you guys have launched, just wanted to get a sense on how much momentum you see on that side of the business when you look at a performance, yet certain strategies as an industry are still like out of favor. So when you kind of net that or you combine it, where do you see the momentum going forward? And I guess mostly in the institutional channel but if you see it more in some of the other areas you can pick up there?
Peter Kraus: That's a good question. Look the industry has struggled with net positive flows in active management. It ends from zero to negative to slightly positive, but it certainly hasn't been a consistent positive flow for a number of years now. I think also the industry is asking a question between more diversified managers and higher conviction managers. And how do you mix those two vis-à-vis a much bigger passive portfolio - set of passive portfolios. And that’s true for institutional versus individual i.e. retail. So we try to position our equity business philosophically as a spectrum of opportunities, but many of them that we think that are attractive are in what we'll call the higher conviction services where we have lower name counts or number of shares, more conviction i.e. higher risk in tracking area if you will in some of those services. And we've also created a platform that is much broader than just value and growth, they are style agnostic services, there’s more stable services, higher quality services, lot of different kinds of things than we’ve had in the past. Now we’ve been doing that for the better part of four years and now we've got three plus years of track record that shows that the investing activity has been very successful. So you can imagine that the velocity of conversation with consultants has continued to increase including consultants in some cases actually recommending us broadly, as opposed to a client going to consultant and saying what do you think about this service, and the consultant saying fine now the consultant is actually saying yes, but I like this service more broadly speaking, and so clients without coming to the consultants are actually getting self recommendations for some of our products that actually put those into broader products. Same thing happens in the retail world as we populate platforms and go from getting on a platform to recommended, to focus, that continues to accelerate. This all takes time, you all understand that but I think that we’re well down the path of having that broader acceptance and having consultants and retail distributors starting to appreciate and have interest in this higher conviction strategy that we've talked about.
Michael Carrier: Okay, that’s helpful. And John I think you guys mentioned this quarter the incremental operating leverage around 50% or above 30%. If we think about the outlook you look at the pipeline, you look at the flow trends and I guess do what we can in terms of just assuming a normal market backdrop and maybe not as much FX movements going forward. But is that like a good way to think about the kind of the revenue opportunity that you guys are seeing versus the investment spend that's needed. I mean you can deliver something in that range obviously not every quarter but over time?
John Weisenseel: Yes, I think over the long haul, that would be our aspiration. Again you may see some quarters where we're below that, but over the long haul that's what would aspire too. And again just going back, and I think if you look at the non-comp expenses I mentioned earlier, they have been fairly flat and so we've shown that they’ve been very much leveragable and then it's just on the non-comp side. And again over time we would hope as revenues rise or continue to rise that we could leverage that part of the P&L as well.
Michael Carrier: Okay. Thanks a lot.
Operator: There are no further questions at this time. We’ll turn the call back over to Ms. Prochniak.